Operator: Good morning, ladies and gentlemen. And welcome to West Fraser Q4, 2021 Results Conference Call. Please note that all lines have been placed on mute to prevent any background noise. During this conference call, West Fraser's representatives will be making certain statements about West Fraser's future financial and operational performance, business outlook, and capital plans. These statements may contain forward-looking information or forward-looking statements within the meaning of Canadian and United States securities law.  Such statements involve certain risk, uncertainties, and assumptions which may cause West Fraser's actual or future results and performance to be materially different from those expressed or implied in these statements. Additional information about these risks, factors and assumptions is included both in the company webcast presentation and in our 2021 annual MD&A and Annual Information Form, which can be accessed on West Fraser's website or through SEDAR for Canadian investor or EDGAR for United States investors. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Virostek, you may now begin the conference.
Chris Virostek: Thank you. And good morning, everyone, and thank you for joining our Q4 2021 earnings call today. I'm Chris Virostek, CFO and I'm joined by Ray Ferris, our President and CEO, and Chris Mclver, our Senior Vice President, Marketing and Corporate Development. This morning, I'll start with a brief recap of West Fraser 's Q4 and 2021 financial results. I'll then pass the call to Ray who will provide an update on the business, including a discussion about some of West Fraser 's recent initiatives, the opportunities we see ahead for the company, followed by a few concluding remarks before we transition to Q&A. In the fourth quarter, West Fraser achieved strong financial results, capping off a record year, despite unprecedented weather-related challenges in Western Canada at the end of 2021.  We managed to navigate significant transportation and mill disruptions during a fourth quarter that experienced some of the worst flooding seen in modern times in the BC interior and lower mainland of Vancouver, which severely disrupted our ability to transport our finished goods from Western Canada to market. As announced in an operational update news release last November, we navigated these challenges by reducing operating schedules at multiple Western Canadian locations to manage our inventory levels, raw material supplies, and our integrated fiber supply chain.  In the face of these supply constraints, demand for our wood-based building products remained robust in the fourth quarter, and as such, we generated $615 million of adjusted EBITDA, representing a margin of 30% of sales, taking full-year adjusted EBITDA to a record $4.57 billion, or 43% of sales. As in the third quarter, the benefits of our product and geographic diversity of production were a significant advantage. We had a strong sequential improvement in our Lumber business, which saw adjusted EBITDA nearly triple to $240 million from the third quarter, helping to offset the sequential decline in our North American EWP business that generated $343 million of adjusted EBITDA in the fourth quarter.  In Europe, adjusted EBITDA was $61 million, the second best result ever for that business. Price, seasonal volume trends, and downtime per capita project all played a role in the European results. Cash flow from operations in the fourth quarter was $290 million in cash net of debt declined quarter-over-quarter to approximately $1 billion after completing two acquisitions in the quarter for combined consideration of approximately $580 million. In the fourth quarter, we repurchased another $100 millions of West Fraser shares, taking our full-year share repurchases to $1.3 billion. With our Q4 earnings release, we also declared a $0.25 per share dividend up from the previous level of $0.20 per share.  We continue to deploy capital not only to shareholder returns, but also to growth opportunities as evidenced by the recent closings of the two acquisition transactions in the fourth quarter, namely our turnkey Angelina sawmill in Lufkin, Texas, and the idled OSB mill near Allendale, South Carolina. We're now in our third month since closing the acquisition of Angelina Forest Products. Our integration is proceeding well and results have exceeded the expectations we had at the time of acquisition.  And on Allendale, we have commenced work on the mill to prepare for an eventual restart and are pleased with the progress to date. In November, the administrative review to rate was finalized and set the new cash deposit rates for countervailing and anti-dumping duties for the Canadian softwood lumber industry. Our rate for cash deposits changed from 8.97% to 11.14% for lumber shipments from Canada to the U.S. on or after January 10th of 2022. Whereas the rate for all other non-mandatory respondents in Canada is 17.91%. These rates will be in place until at least June 2022.  In terms of outlook. we're providing operational guidance for 2022, which you can see on slide four, where we have provided ranges for key product shipments and our planned capital expenditures. We have also identified in our earnings release some of the key challenges currently facing our overall operations early in the year. Namely, that we continue to see logistics and transportation constraints affecting our business early this year. While infrastructure repairs to rail and truck routes resulting from the severe BC weather and flooding in late 2021 are progressing, rail service availability, operator shortages, and the backlog from disruptions in the fourth quarter are all still negatively impacting our ability to ship products.  With January 2022, Western Canadian lumber and plywood shipments down approximately 20% compared to the prior year. Even our Western Canadian OSB operations have been forced to take unscheduled downtime as a result of these transportation constraints. Given these developments, further reductions of operating schedules across our production platform, in order to manage inventory levels, raw material supplies, and our integrated fiber supply chain may be required. Currently, it's not possible to estimate when full transportation services will be available or when the backlogs will be cleared.  But we will continue to actively seek out and utilize alternative transportation routes and methods to the extent they are available to continue servicing our customers. With that, I'll now pass the call to Ray.
Raymond Ferris: Thanks, Chris. And thanks to everyone for joining our call today. I am going to refer to a few specific slides from our webcast deck during my comments and just to further to Chris’ comments, I comment that particularly in Western Canada, these transportation challenges are really unprecedented in both scale and duration and led to a very challenging operating environment in the fourth quarter. And have continued to this point in Q1. Through this period, our team has been very resilient, working diligently through those challenges, all the while minimizing COVID -related business disruptions from the latest wave.  Although lack of transportation, primarily as a result of the extreme flooding noted, impacted almost all of our Western Canadian platform at most heavily impacted our BC lumber, plywood and pulp shipments in the central Cariboo region. Under these conditions, I'm proud of what our people and our teams have accomplished. In particular, our BC and Alberta people for their patience and commitment for constantly adjusting to a rapidly-changing and uncertain conditions. In that context and background, we're pleased to report that Q4 was a '20 -- that Q4 '21 was another good quarter, and that 2021 another record year for West Fraser. Just over one year ago on February the 1st, 2021, we acquired Norbord.  And now with those 12 months of combined performance behind us, it is very rewarding to see the benefits of the product and geographic diversity the acquisition has brought to West Fraser. Not including the cash acquired at close, it's important to note that the EBITDA achieved from the Norbord business in the first 11 months of ownership, accounted for approximately 66% of the transaction purchase volume at the time the closing of the acquisition. Similar as we did last quarter, I wanted to identify a few areas of the business that like one to highlight.  In Q3, we talked a little bit about our OSB in industrial, especially strategy and how that's developed over the last year or two. I want to talk a little bit about our lumber team. Our lumber team experienced significant market and operational challenges we discussed in Q4, yet despite this the results improved materially from the prior quarter, supported in part by our U.S. South growth strategy. This growth and our operating strategy has resulted in expanded profitability, both through greater percentage and greater percentage of premium grades of 2x4. Why this is important is that, 2x4 often trades at a premium price to wider dimensional lumber which can support improved margins. As you can see on Slide 5, our overall proportion of 2x4s has grown by approximately 700 basis points. And our mix of two and better 2x4 has grown approximately 600 basis points over the last few years. Further, the recently acquired Angelina mill is expected to support additional improvement, both in 2% by 4% and in premium grades. Our U.S. South growth strategy remains a key focus for West Fraser.  Although we are pleased with our trend in results, we expect to see continued improvement in our U.S. South operating metrics as we execute on our operational and capital transformation strategy. One other area I would like to highlight is our return on capital employed. So moving to slide six, West Fraser generated $4.57 billion of adjusted EBITDA and $3.95 billion of operating earnings. This level of operating earnings drove a ROCE or return on capital employed of 70%, representing the company's fifth year over the last six with ROCE in excess of 15%. These returns are not just a reflection of a healthy market fundamentals but are as a result of continued attention to lowering costs and expanding margins through improved productivity and product mix. In our -- particularly in our key products of OSB and lumber.  I'd like to talk about -- moving to Slide 7, I'd like to talk about West Fraser's commitment to sustainability and climate action. And with that, I'm very pleased to share that we have formally committed to science-based targets and the science-based targets initiatives. We believe a thoughtful ESG strategy is our foundation for building a company that has financial resilience for the long-term. Key to that strategy is establishing clear, incredible goals with a well-defined metrics that are part of our ongoing commitment to the environment and sustainability. As you can see on slide seven, we have now taken an important step on our sustainability journey by committing to reduce our scope one and two greenhouse gas emissions by 40% -- 46%, and our scope three emissions by 25% by 2030.  Further, to achieve these emission targets, we have committed to invest an average of approximately $50 million annually in greenhouse gas reduction projects and opportunities of approximately $400 million before 2030, as shown on the next slide. By committing to reduce emissions in line with climate science and in line with the Paris Agreement goals by 2030, we're building on our solid legacy of sustainability performance of our products, while enhancing social, environmental, and economic benefit in the communities in which we operate. In summary, we're pleased with our results this quarter and this year despite a number of market and operational challenges. After repurchasing $1.3 billion worth of our shares in 2021, our balance sheet remains strong with considerable liquidity and ability to navigate future opportunities and challenges.  We will continue to take a balanced, disciplined, and patient approach to capital allocation. And we will deploy capital in a manner that we believe will increase long-term shareholder value. We've continued to move forward with strategic capital projects, while also pursuing acquisitive growth, providing additional resilience and durability to meet the needs of our customers and to steer through whatever market challenges come our way. Looking forward, while we expect the first quarter to be challenged by near-term transportation and logistics constraints, we remain optimistic about the medium to long-term fundamentals of our Wood Products business.  Our geographic and product diversity creates a platform to serve our customers and shareholders very well. But I'm most energized and excited about the depth skill, capability, and commitment of our people who remain focused on lowering our costs and improving our margins through operational excellence, and executing on the benefits of strategic capital, such as our W. Sawmill, our Chambord OSB [Indiscernible]. The Inverness expansion. The recent gains upgrade. And in the last quarter, and our Allendale OSB acquisition late last year, while integrating and ramping up at our recently acquired Angelina mill. With that, we'll turn the call back to the Operator and ask for questions.
Operator: Thank you, sir. [Operator Instructions] And your first question will be from Sean Steuart at TD Securities. Please go ahead.
Sean Steuart: Thanks. Good morning, everyone. Few questions. And first of all, thanks for the detail on the volume outlook for each of the segments this year. That's much appreciated. I want to start with North American wood product markets, I guess, for Chris Mclver. Can you frame the current price surge for us? I guess the shipping constraints are clearly a factor, but can you give us a sense of demand pull across various end markets and perspective on where you think inventories are through the supply chain right now?
Raymond Ferris: Good morning, Sean. Thanks for the question. I might say that we have two different markets a little bit between OSB and Lumber. And certainly, fourth quarter, we saw Lumber demand seasonably slow, slower than it was. And then as we move through that quarter into the beginning of Q1, we've seen a major uptick. Always be on the other side. Seems to have been tighter through the whole period. And really haven't seen much of a slow at all. With regards to transportation issues, I think that's very regional, certainly in Western Canada, our ability to ship, and I'm assuming our competitor's ability has been constrained.  The southeast does not really have any transportation issues, so things are flowing pretty well. So we're seeing what we think is pretty strong housing and strong R&R demand going into 2022. We expect that to remain certainly through this quarter and likely through the first half of the year.
Sean Steuart: And any perspective on your thoughts on inventories in the channels that felt not too long ago, at least in the repair and remodeling part of it inventories anecdotally, we're getting four. That doesn't seem to be the case now, do you have any perspective on that?
Raymond Ferris: Yeah. Again, it's really difficult for us to know, but what we're hearing is that the wood and the panels that are going into the market or being consumed. So R&R seems strong, it seems to have rebounded. Now, at these price levels, will we see it slow down a bit? We don't really know, but it did slowdown in the past. But right now it's pretty robust.
Sean Steuart: Okay. Thanks for that detail. Next question is, there was reference to fiber cost inflation in the US South though it's marginal at this stage, that is consistent with what we're hearing from some of your competitors. Can you help quantify that pressure and what you might be expecting on that front for 2022?
Raymond Ferris: I can take a shot at that. Sean (ph) is right here. Anyway, good morning. No, I mean, we -- when we saw a year-over-year price, come off on our log costs in the south. But what we see is that primarily it's been driven by weather events and particularly in certain regions more than others. So in some areas I would say have very flat to modest increase where we've seen extreme weather and lots of rain. It really comes -- it's really not been a lack of timber, it's been impacted mostly by a lack of contractor capacity to fill the gaps and to replenish inventory.  So in those area -- in a couple of those areas, we've seen more significant price pressure. But I think what you're seeing in that -- kind of that general public information out there on log costs as we're seeing that same sort of trend on average. But I would say it's not flat. There's some areas that are higher than others for sure.
Sean Steuart: Okay. Thanks, Ray. I will get back into queue.
Operator: Thank you. Next question will be from Mark Wilde, at Bank of Montreal. Please go ahead.
Mark Wilde: Thanks. Good morning. Ray, Chris.
Chris Virostek: Morning.
Mark Wilde: I want to just to start out. Could you give us some guidance on where you see value potential from an acquisition standpoint? I'm just curious kind of, you've been in the European panel market for about a year now, but we're clearly seeing some more of North American lumber deals. Those have been increasingly away from the U.S. South. And then finally, just thoughts around Engineered Wood. So if you could just deal with how you think about relative value in each of those businesses right now, that would be helpful.
Raymond Ferris: We're looking at each other, trying to decide who is going to answer that question. So I'm trying to think about -- it is probably one were you need to sit down, talk, but again, I ask Chris here to comment in as well, but I -- because I don't think it's an either or thing. I think when we're looking at the landscape today, Mark, I think I would say the U.S. South we still believe is one of the most attractive regions and is attracting a significant part of our capital on our lumber strategy. You see what we're doing in our OSB, we're equally -- at least equally as excited about that in those regions. What's fiber supply end market? We like our European business and it might -- slightly different runway and slightly different opportunities.  But we're quite interested in where we can go in that region. And so that remains really our top three areas. It's not that there aren't other areas out there that from a value point-of-view might be something that is of interest to West Fraser, but we wouldn't drive by the market -- wouldn't drive by a customer to get to the market. I think those three areas are still first and foremost for us.
Mark Wilde: That's helpful. And then Ray, lastly, we get news of another a 150 million board feet coming out of the BC interior. Can you just update us on your current thinking around your BC footprint?
Raymond Ferris: No, thanks, Mark. The BC story continues to unfold. I think the recent announcements about old growth really are just a continuation of the last number of years. So those impacts are going to be additional to the ones that, quite frankly, may still be to come. I think we really don't know the impact to us, there are still many moving parts to the old growth piece. And so we're very concerned, we think that somewhere between 5% and 15% of the AAC, the annual allowable cut could be impacted on top of the things that we've seen in the past and that may still yet to become.  So look, I think I've been very clear. I think our view is the industry is going to continue to shrink and that West Fraser will also shrink. And it's just simply the fiber is not there to support everything we do. We're working through that, I think you've seen us take capacity out over the last few years and timing is always difficult to predict, but we expect over the next couple of years we are going to be reducing our footprint to match the available economic timber supply.
Mark Wilde: Okay. And then the last one from me, just when we think about these transportation and logistics issues in Western Canada, particularly around your lumber and panel business, would you say that it's had a disproportionate impact on export sales versus North American sales because it's more of an issue for kind of flows to ports like Vancouver as opposed to flows kind of across Canada or down into the U.S.?
Chris Virostek: Yeah, Mark. Maybe I'll take a stab at that. But yeah, for sure, anything that's trying to get to Vancouver has been most affected. We have to also realize we've got an ongoing container shortage and congestion issue in the Port of Vancouver that really started middle of last year. And we think we'll continue certainly through 2022, in addition to the rail issues, hand truck issues that we have. But there's also a major issue on us moving product out of BC to the U.S., and to Eastern Canada. So yeah, less challenging, but still pretty challenging, so -- and that'll probably --
Mark Wilde: So it is an element in the equation in terms of what's going on in the domestic North America markets?
Chris Virostek: For sure it is. From Western Canada, yes it is.
Mark Wilde: Super. All right. That's very helpful. I'll turn it over.
Raymond Ferris: Thanks, Mark.
Operator: Thank you. Next question will be from Hamir Patel at CIBC. Please go ahead.
Hamir Patel: Good morning. Ray, you mentioned the growth of your 2x4 mix in the South. Just wondering if you could help us understand maybe just how your positioning there compares to the rest of the Southern industry?
Raymond Ferris: Good morning, Hamir. And thanks for getting on the call. So well, first I'd say I think the point that we're trying to make is in the last quarter, when we talked of OSB, is that we're not just focused on the commodity piece, is that we're looking for those opportunities that on the industrial and specialty side that are very steady and consistent at the peak of the cycle that may have lower margins but through the cycle we think returns superior margin. So and It was really just a [Indiscernible] that we focused in the U.S. Well, in Canada and the U.S. as far as that goes, is that when we're deploying capital, when we're looking at acquisitions, we're very much focused on both our cost and trying to make sure that we're in a position to maximize mill nets.  And so part of your capital strategy is to ensure that you can have some agility, to either process different logs or create different products out of the same log. And so that can move around, but with the premium to 2x4, it can have a significant impact on results. So I can't speak to what others do, and I suspect some will be doing the same thing. But I just wanted to highlight that it's certainly a focus for us.
Hamir Patel: Thanks. Thanks, Ray. That's helpful. And just turning to the softwood lumber duties. I know the AR3 -- the rate -- the preliminary rates which were announced recently, West Fraser was the only respondent that saw its rate increase. Would you expect when the finals are announced later in the year that -- to hold so much of the preliminary or are you hopeful that you can appeal some of the methodology there that maybe contributed to the different results than the rest of the industry?
Chris Virostek: Yes. It's -- Hamir, it's Chris, I'll take that. I think what we've seen with the first couple of main reviews is that usually the final rate comes out fairly close to preliminary rate. We're -- I think we're benefiting right now from a fairly big delta between our rate and the rest of the industry that will have the advantage of for sort of eight or nine months. I think those rates on the whole are probably going to normalize for the group in AR3.  That being said, we always take the opportunity just as both sides of this due to appeal every last living thing under these determinations between now and the final assessment. But I would say three years into this now, I think the issues are pretty well-known on both sides and we haven't really seen the rates move that significantly from the prelim to the final in the first couple of ARs.
Hamir Patel: Thanks, Chris. That's all I had. I'll turn it over.
Operator: Thank you. [Operator Instructions] And your next question will be from Paul Quinn at RBC. Please go ahead.
Paul Quinn: Yes. Thanks very much. Morning, guys.
Chris Virostek: Good morning.
Raymond Ferris: Good morning, Paul.
Paul Quinn: Just following up on this move to a higher percentage of two-by-four. That 7% increase from 2016 to '21, how much of that is stuff that you put -- that you guys did, I think, just the mills? And how much is it through M&A? I know Gilman was in there and that probably has a higher percentage of two-by-four in the mix, but just wondering if you could break at that 7% between what you guys did and what you bought.
Raymond Ferris: Hey, Paul, good morning and great question. And Chris or Chris here may tackle me and say something different or better. But what -- I wish I could break that apart for you, but I just don't have that detail in front of me but -- and I think and the message really is really around -- because quite frankly look, I don't know, maybe two by ten will become a premium again someday. I doubt that.  It's really around, I think, trying to convey a concept that this is a big part of our focus and that we deploy capital in order to, you know, and so rather than get fixed on the percentage, it's more around the operating strategy of both trying to produce the right products in the right regions and is a key part of both our acquisition and our capital deployment strategy. And so probably not a great answer for you, Paul, but it's -- maybe we can expand on that, if you have a follow-up.
Paul Quinn: Okay. Maybe I'll leave it there. Just on North American OSB, I appreciate the guide for shipment volumes in '21, just wondering how much Allendale is going be able to contribute to that in '22, and how much Allendale is going to contribute, and then what the incremental shipment increase from Allendale will be in '23?
Raymond Ferris: Well, 2022 was easy, we really don't expect any -- very minimal and basically 0. So we're hopeful we'll get it started up in -- by the end of 2022, but I wouldn't expect anything on shipments. In 2023, I'm not sure we provided on guidance or not, but it'll be a startup year. And probably similar to the Chambord ramp up curve would be how I'd expect it to do. I think we're pretty pleased where we're in Chambord and we're -- So anyway typically, I would use Chambord as a good backdrop for 2023 for Allendale.
Paul Quinn: Okay. And then just on the European OSB that the shipment volume in Q4, was a surprise to the downside for us and even understanding the drier build at GENK. So it seems like the market weakened off in Q4, just wondering, you've given us guidance on $1.1 billion to $1.3 billion square feet in '22 here. How confident are you on that number and what the upside in shipments set of [Indiscernible] Inverness?
Raymond Ferris: Yes. For sure gain -- the gain was pretty much a three-week project. And then with the ramp up and when you only have two OSB mills in Europe, has a pretty pronounced impact. And look, we saw quite a bit of price appreciation in Europe, towards the end of the year and a little bit harder to dissect some of those things and I'm sure there was a little bit of an impact in the marketplace and we did see a little -- some seasonal slowdown towards the end of the year, weather was really different than other years, hard to really differentiate that. It would appear similar, anyway. The start of the year and I can tell you that our European team remains pretty optimistic about where we're at. So at this point we're -- we think we're in a pretty good spot and that we'd expect that to be -- not likely to be exactly like 2021, but we're expecting that to meet our expectations.
Paul Quinn: Okay. And then just lastly, just on lumber M&A opportunities. I mean, you guys have been over to Europe a number of times for the last decade. Anything over there that you see that could come forward?
Raymond Ferris: Well, Paul, I mean, we're, I mean, we're looking everywhere. So I guess the short answer would be I'm sure there is. But, you know, so we look at everything that comes up and if we think that it's something that can make our business better, we're going to spend some time on that. So I would say the bulk of the opportunities are still in North America, and -- but we're keeping an eye open in both areas and I would just say, stay tuned. We like both regions.
Paul Quinn: All right, that's all I had. Best of luck.
Operator: Thank you. Next question will be from Mark Wilde of Bank of Montreal. Please go ahead.
Mark Wilde: Thanks, just a couple of follow - ons. First, Ray, we've heard some stories about pretty significant COVID impacts on different operating facilities late in the fourth quarter and in through January, I'm just curious about what you experienced, both at the end of the fourth quarter and what you've seen so far in the first quarter.
Raymond Ferris: All thanks, Mark. Look, and we'd probably understated that. Certainly, this fourth wave, the way it moved through and it was similar in the U.S. as it was in Canada. It came very hard, very fast. We saw a significant impact in our operations. Now, we didn't lose significant production. We certainly lost some shifting, but what it had an impact on was a lot of absenteeism, a lot of overtime, a lot of people moving into jobs that perhaps they hadn't done very well and weren't there, so it had an impact on productivity to a certain extent across the company and in virtually everywhere we operate.  I hear similar stories, if you will, on other impacts, but for the most part, we -- it was business as usual, except it was -- this wave was certainly unique compared to the past waves. Now, it's also coming down very quick. The impact in Europe was certainly less than what we saw in North America. But we're quickly seeing that wave behind us and don't expect to see any impact due to that in Q1. And in Q4, it was a major issue for the management to get through.
Mark Wilde: Okay. Chris given your -- I'm just curious, going back to the issue of high prices in demand destruction. Just based on what you saw last year, what are you keeping an eye on to try to get a read on this?
Chris Virostek: Excuse me. That's a good question, Mark. We look a lot at our VMI pools. We watch those very closely to see what our customers are actually using. And so far this year that stayed very strong both on the panels and the lumber side. But -- and we stayed in close to touch with our customers as we can try to get ahead of this a bit. We saw coming last year and probably could have reacted a little quicker, but certainly so far this year, the demand remains very, very strong.
Raymond Ferris: Hey, Mark, I'm just going to jump in on that. I think a replay kind of over the last few periods where we've seen these prices and then some softening in the market. I would say that we've been managing our production to try and make sure that we only have so much ability to build inventory. And then I would say the system only has so much ability to take it away. And I think when people reflect on say, five years ago, the industry can either supply or ship a volume in a very quick manner. And I think -- when I think back to the last few times when there was a little bit of a dip, it was the -- my view would be the wall of wood didn't show up to -- at the speed and pace that would be required. Anyway, so that's just a bit of a commentary, I mean, our biggest concerns are just shipping what we're making today.
Mark Wilde: Okay. And last one, I don't want this to sound subversive, but just sitting here, you're one of the largest lumber producers in the U.S. If you had a U.S. domicile, could you actually participate in the U.S. discussions around the lumber trade issue?
Raymond Ferris: No. We've got operations on both sides of the border. I don't -- you're asking could we be part of the coalition?
Mark Wilde: Yeah. If you were headquartered somewhere other than Vancouver, if you were headed -- headquartered south of the border, could you then participate in the coalition in influences?
Raymond Ferris: Let's not take this as verbatim, but I don't believe so.
Mark Wilde: It's just striking to me, Ray. When we think about what's -- where capital is being invested in the U.S. lumber industry, it seems to me that the lion's share of it is actually coming from Canadian companies at this point.
Raymond Ferris: Well, Mark. And logic and rational thought often don't enter into discussions around these things that happen in treat in U.S., so I would say -- it's -- a process is set up is to look after those that are in the coalition. And anyway, it is what it is we're working our way through it. And -- but at this point, we're just managing through the softwood lumber agreement or disagreement, if you will. And there's really not much happening on that front. I think the biggest catalyst for an agreement is likely those that are focused on trying to reduce inflation in the U.S. and whether there's any political pressure that can come as a result of that.
Mark Wilde: Okay. Fair enough. Again, I didn't want be subversive there, but I do want to also just echo Q - Sean Steuart's comment about how much we appreciate the improved disclosure, including the segment EBITDA bridges that you're now including in the MD&A, so we much appreciate it
Raymond Ferris: Well, Virostek forced me to do it. So glad to hear that.
Mark Wilde: All right. Thanks. Good luck.
Chris Virostek: Thanks, Mark
Operator: Thank you. Next question will be from Sean Steuart at TD Securities. Please go ahead.
Raymond Ferris: You might be on mute, Sean.
Sean Steuart: So I am. I think I'd learn after two years of this. On the greenhouse gas reduction targets for 2030, can you add a little bit in a bit more detail, Ray, on the long-term capital you're going to commit to that and give us some examples of the types of technologies or processes you'll be looking at implementing? And when you talk about a two-year to three-year payback normally for discretionary capex, are we right to assume there isn't maybe a direct financial payback on that capital? How do you think about that?
Raymond Ferris: That's a great question, Sean. So first I would say a lot of the projects that we do, and if we look in the rearview mirror, a lot of them have sustainability and GHG built into them. And so part of this process is really understanding those opportunities, properly accounting for them, and making sure that they factor into a payback analysis and that we can report out in share. I would say as we look at our -- when we really look back at 2021 and our capital in 2022, there's already a chunk of it that when we look at capital go well, this has significant paybacks and will be part of the journey on meeting our target. So when we look at these energy efficiencies and it's not -- it isn't necessarily a lot of new technology. It's just incorporating those other attributes along -- to a great extent, around existing capital or a strategy going forward. So look, are there going to be new things that we might not have otherwise thought about around? Sure, there will. But I can tell you, we've done solar projects in the past, we're likely to do that in the future. And they stand on their own merits. But in the eyes of sustainability and GHG, there's an additional payback that takes us there.  So it -- I feel quite comfortable that our paybacks will remain robust and in some cases improve with this and that we are quite excited about it. Because we think we're going to be able and I suspect other force companies as well, that we're doing a very good job of describing our strategy and communicating it, that it's going to shine well in the industry.
Sean Steuart: Thanks for that detail. I appreciate it, Ray.
Raymond Ferris: Thanks, Sean.
Operator: Thank you. Next question is from Paul Quinn at RBC. Please go ahead.
Paul Quinn: Yes. Thanks. Just one last follow-up. Just on the topic of increased disclosure and hopefully guidance. Now, we've seen a run-up in lumber and OSB prices in North America between Q4 averages in Q1 here to date, which is -- both are up in the realm of 75%. Just wondering how your realizations are track through at least in the month of January from those price increases.
Chris Virostek: Paul, I think it's pretty hard for us to comment on that right now. I think what you've got to keep in mind is when, and I think what we said in the comments there around transportation, right? It that when you have delays, obviously, that delays the benefit of your realization. So I think that's about as far as we can go in terms of unpacking that. But the longer it takes to ship stuff, the longer it takes to realize the benefit of what's happening in the market.
Paul Quinn: All right. Thanks, guys.
Raymond Ferris: And I might just add, and I'd get myself in trouble here, I think when I -- in the past when you've seen peak pricing, some of those other products, whether they be -- whether it be wide lumber, it doesn't mean that that's what's happening this time, but historically, wide lumber or specialties in OSB or in lumber, they tend to lag some of the peak commodity pricing, and so that can open up. And then on the flip side, it tightens up on the other side of the cycle. But I do think that's one of the things that is difficult to track, but it is a factor.
Chris Virostek: The other thing I think that we highlight fairly regularly is those prices get reported. But how much is actually transacting at those prices is hard to unpack, as well. I mean, I remember back in 2018 when we were talking about this and the high price of lumber in the 600s or whatever, very little actually transacted there. The average was more like 480 so you just have to keep in mind that when this stuff gets published twice a week, how much is actually transacting at those is a bit of a black box.
Paul Quinn: Well, I'd just assume that the keeper gets 5% to 10% premium on the reported prices. Is that not correct? 
Raymond Ferris: Of course it is. 
Paul Quinn: Thanks, guys.
Raymond Ferris: Thank you.
Operator: Thank you. And at this time, I would like to turn the call back over to our speakers for closing comments.
Raymond Ferris: Listen. Thanks for that great questions. I appreciate the comments and attending our call. And we look forward to talking to everybody at the end of Q1.
Operator: Thank you, Mr. Ferris. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.